Operator: Good day and welcome to the Energous Corporation Fourth Quarter and Full Year 2021 Financial Results. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Matt Sullivan, Investor Relations. Please go ahead.
Matt Sullivan: Thank you, Andrew and welcome everyone. Before we begin, I would like to remind participants that during today’s call, the company will make forward-looking statements. These statements whether in prepared remarks or during the Q&A session are subject to inherent risks and uncertainties that are detailed in the company’s filings with the Securities and Exchange Commission. Except as otherwise required by federal securities laws, Energous disclaims any obligation or undertaking to publicly release updates or revisions to the forward-looking statements contained herein or elsewhere to reflect changes in expectations with regard to those events, conditions and circumstances. Also, please note that during this call, Energous will be discussing non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures are included in today’s press release, which is posted on the company’s website. Now, I would like to turn the call over to Cesar Johnston, CEO of Energous. Please go ahead, Cesar.
Cesar Johnston: Thanks, Matt. Good afternoon and welcome to the Energous 2021 fourth quarter conference call. Joining me today is Bill Mannina, our Acting Chief Financial Officer. Today, it’s a pleasure to deliver my first earnings call as Energous’ CEO. We are very proud to report that during the fourth quarter of 2021 we successfully fulfilled our first customer orders for the first WattUp PowerBridge distance charging products that can be commercially deployed in real world and potential volume applications. We are excited for this accomplishment. As we noted on earlier calls, that this was a top goal for us to achieve before the end of 2021. As you have seen, Energous’ focus has evolved in the last year. And today, we strive to be a leader in IoT wireless power networks. Our goal is to use our unique capabilities to deliver power at a distance, allowing customers to deploy IoT systems without power cables and wires, alleviating the need and significant cause for cumbersome battery replacement and supporting a new generation of battery-free IoT devices. Our aim is to produce distance charging technology that can power a new generation of IoT received devices, giving them placement flexibility while also delivering higher levels of sustained power to support, for instance, advanced artificial intelligence processing capabilities. Our WattUp technologies, in conjunction with several recent certification achievements and the fast rise of connected IoT devices, position the company well for the development and deployment of IoT wireless power networks. The wireless power networks market opportunity is huge, and it includes up to 39.3 billion IoT devices by 2025, as reported by IDC in their Worldwide Global Data Sphere IoT Device and Data Forecast 2021 to 2025. Also, multiple applications can be supported with potential IoT WPN deployments. We have targeted RF tags and electronic shelf labels as the first to focus on with our technology. As such, we are working with several partners to incorporate cloud software, communications infrastructure, WattUp PowerBridges and market-specific devices to demonstrate a functional end-to-end market vertical solution. The first application is the integration of RF tags with our WattUp PowerBridge, allowing tax to be battery less and power from these bridges at distances greater than 10 meters. We believe that in the future, this tag will be ubiquitous and deploy in multiple markets requiring tracking and sensor capabilities. We have partnered with the emerging RF tag leader, Wiliot. And we are very happy to report that we have received the first orders for fully certified production ready WattUp PowerBridges to energize Wiliot’s IoT pixels for commercial deployment. These PowerBridges are currently shipping as part of the Wiliot starter kit and partnering with a company like Wiliot allows us to quickly deploy our WattUp PowerBridge, capitalizing on the momentum of their product. The second application is for electronic shelf labels. In January, at the Consumer Electronics Show in Las Vegas, we demonstrated our WattUp PowerBridge simultaneously charging and supporting the communication exchange between multiple battery-less ESL units connected to a WiFi communication network over BLE links. Our focus on ESL is to continue our development while identifying potential customer interest in the coming months. As part of our financial performance, we are pleased to report that our fourth quarter 2021 revenue rose to $225,000 for a total of $757,000 for the year as compared to fourth quarter 2020 with a total of $90,000 and a full year 2020 total of $327,000. Revenues were up from $201,000 in the third quarter. And I want to emphasize that top line growth is a priority for 2022. Bill will provide a more detailed breakdown of our financial results. We continue to make good progress on our operations execution with the transfer of our EN4100, EN3210, EN2210 and EN2223 CMOS devices supply chain, transitioning production from our previous partner, Dialog to Energous. At this time, the EN4100 and EN32 devices have been fully enabling our production and testing facilities, while we continue work in completing the transfer of the EN2210 and EN2223 devices. Although this continues to be a difficult time for fabless companies, securing foundry allocation and testing capacity, we’ve had little interruption in the supply chain to date as we prepare to support our customers’ demand through the next quarters. On the technical side, our engineering team delivered the 1 watt WattUp PowerBridge to production, including the ramp-up of manufacturing lines with the capability of delivering thousands of devices. We are proud to report that our first order of WattUp PowerBridge devices was received and delivered in the fourth quarter of 2021, with pending orders expected to be fulfilled in this and forthcoming quarters. In summary, the 1-watt WattUp PowerBridge products are customer-ready and add to our line of semiconductor devices and positions Energous as a comprehensive provider for end-to-end wireless power network technologies. Customers can procure our semiconductor devices, allowing them to use their engineering expertise to design their own transmitters or they have the choice to purchase fully functional off-the-shelf transmitter devices from us. We believe that we’re well positioned to become a leading IoT wireless power network solution provider. Also, as part of CES 2022, we demonstrated the world’s first IoT wireless power network, leveraging Juniper missed WiFi access points connected to multiple WattUp PowerBridge transmitters at 1 watt and 5 watts. Importantly, we show charging received device interoperability by simultaneously powering RF tags from Wiliot controlled by their Sensing as a Service cloud software; ESL tags using EPS devices, and IoT device using agnostic BLE chips; and network edge computing driven by Syntiant artificial intelligence voice recognition technology, all of which were managed by the WattUp software. Syntiant is our newly announced IoT partner who has developed an ultra-low power deep learning architecture in the form of neural decision processors for deep learning processing at the IoT edge. This partnership was announced on January 5, 2022. To summarize, at CES 2022, Energous presented a glimpse of what the future of the IoT wireless power network world would look like. The Energous solutions, in conjunction with our partners’ technologies, have the potential to deliver power solutions to real-world problems. We look forward to continuing developing the critical partnerships and technologies that accelerate the usefulness of IoT deployments. Moving on to an update on our regulatory efforts, in the fourth quarter, we achieved significant regulatory milestones as we were granted approval for our 1-watt WattUp PowerBridge product in the United States, the European Union, India and Canada for unlimited distance charging. Progress also continues at the International Telecommunications Union, ITU, towards 900 megahertz global allocation for wireless transfer. In the United States, we are excited to see that the FCC confirmed their efforts to open up high power, which is greater than 1-watt wireless power transfer without distance limitations. Also, during the fourth quarter, we were granted FCC certification for our 10-watt WattUp PowerHub which nearly doubled the power that could be transmitted wirelessly. Our WattUp PowerBridge and PowerHub transmission capabilities of 1 watt, 5 watts and 10 watts will open up more potential applications in the future while also providing the immediate capability to improve the performance and range of our current target applications. Overall, Energous continues to make progress on our vision to be the leader in IoT wireless power networks. In pursuit of that, we want to share our short-term and long-term goals. As part of short-term goals, we are looking at fulfilling the delivery of the 1-watt WattUp PowerBridge orders. We are looking at identifying RF tag applications into potential markets, and we are targeting our first pilot deployment. We have completed our electronic shelf label end-to-end system, and we are working on identifying a market launch customer. And as far as long-term goals, it is important for us to support the AirFuel Alliance efforts to make WPT, wireless power transfer, a standard. We continue to lead our IT recommendation to align 900 megahertz wireless power transfer spectrum as the first designated wireless power spectrum worldwide. We are working and will continue to work on certifying high power, meaning greater than 1-watt conducted power, IoT wireless power network, PowerBridge transmitters in the U.S. and the European Union without distance limitations. We will identify potential markets or applications of ESL vertical markets and target first pilot deployment. We will work on identifying a third vertical market and build an end-to-end system for customer technology demonstration. And most important, we will deliver year-over-year revenue growth driven by expanding IoT WPN deployments. I will now turn the call over to Bill Mannina, our acting CFO. Bill?
Bill Mannina: Thanks, Cesar. Hello, everyone. Recapping 2021, we recognized $757,000 in revenue compared to $327,000 in 2020. Revenue for the fourth quarter was approximately compared to approximately $201,000 in the third quarter and approximately $90,000 in the same quarter last year. For 2022, as Cesar mentioned, we are forecasting year-over-year revenue growth. Total expense for the year on a GAAP basis was $42.2 million, which was $10 million or 31% and higher than the $32.2 million of total expense in fiscal 2020. The higher expense was primarily due to a $4 million severance accrual for executive personnel restructuring, a $3.7 million increase in stock-based compensation and an increase of approximately $800,000 in R&D and chip development costs. Total expense for the fourth quarter was $9.6 million which was a decrease of $3 million or 24% compared to the third quarter, mainly due to the $4 million nonrecurring severance accrual in the third quarter. Compared to the fourth quarter of 2020, we saw an increase of $21 million or 27.6%, primarily due to a $1.8 million increase in stock-based compensation. Net loss on a GAAP basis for fiscal 2021 was $41.4 million, approximately $9.6 million or 30% higher than the $31.8 million net loss in 2020. This translated to a net loss per share of $0.64 on 64.9 million weighted average shares compared to a $0.76 loss per share on 41.7 million weighted average shares in the prior year. Net loss for the fourth quarter was $9.4 million or $0.13 per share on 72.9 million weighted average shares which was $3 million less than the $12 million – $12.5 million loss or $0.20 per share loss on 63 million weighted average shares in the third quarter and $1.9 million more than the loss of $7.5 million or $0.15 per share loss on 49.2 million weighted average shares in the fourth quarter of last year. I would now like to review our 2021 results on a non-GAAP basis as we believe that adjusted, our non-GAAP results provide a helpful tool to investors when used in combination with the GAAP information. You can also find our non-GAAP reporting information in today’s press release, which is now available on our website. Excluding nonrecurring severance and non-cash charges for depreciation and stock-based compensation expense of approximately $15.9 million in fiscal 2021, our total net non-GAAP operating expense for the year was approximately $26.3 million, which was approximately $2.3 million or 9.6% higher compared to a net of approximately $24 million of non-GAAP operating expense in 2020. The difference was largely due to increases of approximately $800,000 in R&D and chip development costs, approximately $600,000 related to sales and marketing head count, and approximately $500,000 related to D&O insurance and recruiting costs. I would also like to point out that 2020 was an abnormally slow year due to the COVID pandemic. Our spending in R&D operations and regulatory represented 53% of our non-GAAP cost structure in 2021 and represented 54% in 2020. For the fourth quarter, non-GAAP expense increased year-over-year by approximately $300,000 to $6.2 million from $5.9 million of non-GAAP expense in the fourth quarter of last year. Compared to the prior quarter, Q3 of 2021, non-GAAP expense decreased by approximately $400,000 from the $6.6 million we reported in that quarter. We ended the year with 49 employees compared to 56 at the end of 2020. Given our company’s size and as we ramp our revenue, we continue to manage our expenses very tightly with the target for 2022 OpEx to remain flat or slightly reduce our quarterly spend. Our net loss for 2021 on a non-GAAP basis was approximately $25.5 million or $0.39 per share loss on 64.9 million weighted average shares. This is $1.9 million or 8% higher than the $23.6 million or $0.57 per share non-GAAP net loss on 41.7 million weighted average shares incurred in 2020. For the fourth quarter, our non-GAAP net loss was $6 million or $0.08 per share, approximately $400,000 lower than the $6.4 million or $0.10 per share non-GAAP net loss in the third quarter and approximately $200,000 or 3.3% higher than the $5.8 million or $0.12 loss per share in the fourth quarter of 2020. Additionally, during the fourth quarter of 2021, we raised cash of approximately $27 million, net of commissions and issuance costs with our at-the-market offering. This helped increase our cash balance to $49.1 million at the end of fiscal 2021. We remain debt-free with $45.9 million in working capital as of 12/31/2021. Let me now turn the call back to Cesar.
Cesar Johnston: Thank you, Bill. We would like to thank our investors and shareholders for their support. This was an important quarter for us as our first IoT WPN product was delivered, opening up the RF tag IoT WPN market through our strong partnerships with Wiliot. Energous continues to be a leader in the development of at-a-distance charging power. We are now in a good position to grow our business and revenue to participate in the deployment of the future 39.3 billion device market as described by IDC’s market report. At this time, we would like to open the call for questions. Operator?
Operator: [Operator Instructions] The first question comes from Jon Hickman with Ladenburg Thalmann. Please go ahead.
Jon Hickman: Hi, can you – out of this first order that you received and delivered, were you able to recognize the revenue in Q4 from that order?
Bill Mannina: Yes, we were.
Jon Hickman: Okay. And so there is no cost of goods sold in your P&L statement. Like can you explain how that’s happening? How are you accounting for that, the manufacturing costs?
Bill Mannina: Well, our initial units were developed in-house. So we are transitioning to reporting COGS in 2022. So right now, we were still building those initial units. So those are in R&D for Q4.
Jon Hickman: The cost of those are in R&D. Okay. And then can you be any more specific with your year-over-year revenue growth? Like do you expect 10% or 100% or anything that you can help us with for a model going forward?
Bill Mannina: No, not at this time. We may be able to provide more guidance during ‘22, but that’s the message we’re sending out today.
Jon Hickman: When might you be able to provide more guidance?
Bill Mannina: Possibly in 2022.
Jon Hickman: We’re in 2022.
Bill Mannina: I mean later in 2022.
Jon Hickman: Okay. Okay, so let me ask another question. Your current cash balance, do you expect that to take you through the rest of this year?
Bill Mannina: Well, our current operating levels, that’s 2 years’ worth of cash. Yes, do have – so if we found it advantageous for further financing, we could look at that. We have another shelf on file as well.
Jon Hickman: So, but basically, do you anticipate, I mean if things stay the same, you’ve got 2 years of operating?
Bill Mannina: Correct. Yes.
Jon Hickman: And that’s with no revenues, right?
Cesar Johnston: We do have some level of revenue. But we have report it like no revenues.
Jon Hickman: No, I mean, but minimal. I mean, okay, that’s it for me. Thank you.
Cesar Johnston: Okay. Thanks a lot.
Bill Mannina: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Cesar Johnston, CEO, for any closing remarks.
Cesar Johnston: We are looking forward to develop a new IoT wireless power network, we are well positioned. We have looked into those applications. We have new partnerships as we reported, and we do have products that are being shipped in the form of modules and semiconductors. And as John asked, we will be reporting on revenues as the markets mature, and we have indications of growth. So thank you very much.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.